Operator: Good morning and welcome to the Kinaxis Incorporated Fiscal 2024 Fourth Quarter Results Conference Call. Currently, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I'd like to remind everyone that this call is being recorded today, Thursday, February 27, 2025. I will now turn the call over to Rick Wadsworth, Vice President of Investor Relations at Kinaxis Inc. Please go ahead, Mr. Wadsworth.
Rick Wadsworth: Thanks, operator. Good morning and welcome to the Kinaxis earnings call. Today, we will be discussing our fourth quarter and year-end results which we issued after close of markets yesterday. With me on the call are Bob Courteau, Interim CEO and Chair; and Blaine Fitzgerald, our Chief Financial Officer. Some of the information discussed on this call is based on information as of today, February 27, 2025 and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release as well as in our SEDAR filings. During this call, we will discuss IFRS results and non-IFRS financial measures, including adjusted EBITDA. A reconciliation between adjusted EBITDA and the corresponding IFRS results is available in our earnings press release and MD&A, both of which can be found on the IR section of our website, kinaxis.com and on SEDAR+. The webcast is live and being recorded for playback purposes, an archive of the webcast will be made available on the IR section of our website. Neither this call nor the webcast may be rerecorded or otherwise reproduced or distributed without prior written permission from Kinaxis. To begin our call, Bob will discuss the highlights of our quarter and year and recent business developments, followed by Blaine, who will review our financial results and outlook and open the line for questions. We have a presentation to accompany today's call which can be downloaded from the Investor Relations homepage of our website. We will let you know when to change slides. Before I turn the call over to Bob, I want to remind you that our user event, Kinexions, will take place from March 31 to April 2 in Austin, Texas. The first day is for user training but the full agenda is on the first and second are open to investors. You can review event details at kinexions.com and if you're interested in joining us, please reach out to me directly at rwadsworth@kinaxis.com before registering as we have capacity limitations. Over to you, Bob.
Robert Courteau: Good morning and thank you for joining us today. We really appreciate it. I'm pleased with Q4 results and would highlight three key items. First, our performance allowed us to hit all guidance elements for the year, including SaaS revenue growth, total revenue and adjusted EBITDA margin. Second and most exciting for us by far, was the record incremental ARR added in the quarter, though foreign exchange adjustments to the ARR balance at the end of the period masked some of that performance, as Blaine will discuss. I see the strong sales performance in Q4 as one reflection of our elevated go-to-market team and approach. I'm confident that we are much better positioned to take full advantage of whatever conditions and opportunities present themselves ahead. Longer term, the ongoing uncertainties facing supply chains will also continue to shine a light on Kinaxis and the incredible value that we offer. And third, we're also very pleased with our 25% adjusted EBITDA margin in Q4 and our near 20% trailing 12 months free cash flow margin, both of which continue to reflect our rapidly improving profitability. The results also demonstrate our clear path to consistently achieve a full year normalized adjusted EBITDA margin of 25%, starting no later than 2026, as we've communicated. We matched our record for new customers in the quarter and set a new record for full year. We're thrilled to have won some large enterprise accounts in Q4. Together, large enterprise and enterprise companies were the biggest contributors of new customer wins in the quarter. As always, we're fortunate that we can identify a sample of our new customers. It's a privilege to have the strongest references in our space with some of the best supply chain companies in the world. I'll let you research some of the names on the slide but the flexibility of Maestro to address a diverse set of supply chains is obvious from this group. For example, we're helping orchestrate the supply chains for global leaders like Bel Group, headquartered in France, they make the iconic Babybel and Laughing Cow cheeses. Tosoh Corporation out of Japan which supplies the plastic resins and an array of the basic chemicals that support modern life. Opella also based in France which is partially owned by Sanofi and focuses on consumer self-care with well-known over-the-counter brands like Allegra and Dulcolax. Finally, we also won one of the largest life sciences companies and we hope to be able to share their identity with you in the time ahead. For 2023, we spoke about a 60% plus win rate against our core competitors and I'm thrilled to have repeated that strong performance in 2024. Our VAR channel also continued to gain momentum by adding several smaller customers and bookings for this year from this group grew over 100%. In addition to success winning new customers, over half of our gross additions to the ARR balance in Q4 came from existing customers. We have a significant expansion opportunity ahead that remains in early days, thanks to the near doubling of the customer base over the last 3 years and exciting new product launches. Our success remains anchored in our product leadership and we are thrilled to receive further validation from independent industry observers. Kinaxis was named a leader in three IDC MarketScape reports published in the fourth quarter covering supply chain planning overall; supply chain planning for life sciences industries; and supply chain planning for discrete manufacturing industries. Together, the report highlighted important Kinaxis differentiators, including statements around how our concurrency approach, supports responsiveness and agility. How Kinaxis has an incredibly deep understanding of AI solutions in the supply chain base and our ease of integration. In 2024, we launched the Maestro platform and we continue to build out its capabilities, including enhanced and new AI techniques. Our next phase ready in Q2 2025 and makes integrating with Maestro more standardized, faster and more capable of connections to ERP systems and our solution extension partners are handled through our new supply chain data fabric. A key part of supply chain orchestration involves connecting to as many relevant supply chain data sources as possible to improve decision-making. So this, for us, is an important step. Over 200 customers have already used our Gen AI-enabled Maestro chat capabilities, to simplify user help which is bundled into the base functionality. In the second half of 2025, for the first time users will be able to chat with their own data to save users significant time and importantly, to democratize access to important supply chain information, significantly enhancing Maestro's value overall. They'll be able to ask important questions like, "Which components of my supply plan are more than 2 weeks late? And to follow up, are there any gating items creating the late supply?" This and future AI enhancements will be revenue generating as they are released and will be an uplift to the 2026 opportunity. As a follow-on, we'll subsequently launch our Agentic AI framework which will enable us to deliver use cases that take action either when asked by users or on behalf of them, where processes can benefit from greater automation. Referring back to the example on late supply, a planner could instruct Maestro, please transfer inventory to resolve the gating component responsible for the late parts at our Ohio site. Future phases will see AI help users create critical Maestro resources at implementation or later, improving on our already best-in-market time to value and see AI permeated through the platform for increasingly powerful interactions. Our existing predictive AI capabilities continue to quickly gain traction as well. For example, we have tripled the count of Supply.AI customers from the beginning of 2024 and we continue to see a strong pipeline ahead. We believe Maestro has a 2-year to 3-year product advantage in supply chain orchestration. So overall, I'm very pleased with the progress we've made through 2024. We reorganized the company to improve profitability and reallocate resources to the highest priority areas. You've seen the impact on our results. Our adjusted EBITDA margin grew from 18% in 2023 to 22% in 2024 and the trend will continue. We did a full review of our operational and strategic priorities that confirmed our opportunity as well as key elements of our well-established plan. Based on that work, we took action to improve in certain key areas, particularly in go-to-market activities. For example, we refocused on our core manufacturing verticals and we'll press our leadership advantage on these markets. There are still thousands of new customers to be won there. Mark Morgan, our new Chief Commercial Officer, has enhanced our go-to-market model and add key regional and country leaders to the talent in our sales teams. For example, Mark has added a strategic account tier to our team and ensure coordination across the company to make sure that the largest opportunities are getting the appropriate attention. He's also refocused the goals of our installed base team to more effectively address the sizable expansion opportunity represented by our rapidly growing customer base and product set. Mark has also created a more established and mature methodology around opportunity qualification, account planning and forecasting. As a company, we have significantly expanded our investment and mind share with key go-to-market and implementation partners, such as through recent deals with Accenture, NTT DATA and soon with Infor. We'll announce details later this quarter. The result of our enhanced partnerships will be better market coverage, expanded delivery capacity and better client outcomes. As we steadily move towards public cloud, our partnerships with Google and Microsoft enhance our delivery flexibility and increase the visibility of Maestro in the supply chain space. Look, we remain full speed ahead on our search for Kinaxis' next CEO. In the meantime, we're so pleased to be executing well with a very experienced and collaborative team. The fourth quarter gave you a taste of what all these improvements combined can mean to Kinaxis. The strong finish to 2024 solidifies our outlook for 2025. Looking ahead, we're focused on ARR growth, further progress towards our mid-term normalized annual adjusted EBITDA target of 25% and a return to consistent Rule of 40 performance. We have lots of growth opportunities ahead. We're better organized. However, we also recognize the challenges that our customers face in this new era of global trade. With that said, I'll turn the call over to Blaine.
Blaine Fitzgerald: Thank you, Bob and good morning. As a reminder, unless noted otherwise, all figures reported on today's call are in U.S. dollars under IFRS. Let's move to Slide 9. I'm very pleased to report strong Q4 results. Frankly, it's the best quarter we've ever had. We met all full year guidance elements but most importantly, in the quarter, we added a record incremental amount of our ARR. As with other global software companies, recent fluctuations in foreign exchange relative to the U.S. dollar are masking the strength of some of the headline results, including ARR and RPO balances and our 2025 guidance. But the underlying performance in the quarter is very clear. Our adjusted EBITDA margin in Q4 was a very strong gain, reinforcing our path to consistent, normalized 25% plus performance starting in 2026 and supporting ongoing strength in our trailing 12-month free cash flow margin. Briefly, for the quarter, total revenue was $123.9 million, up 11%. SaaS revenue was $81.9 million, up 17%. Our subscription term license revenue was $1.6 million, in line with our expectations given the renewal cycles. Professional services revenue was $35.1 million, up 2%. Product schedules and foreign exchange fluctuations impacted the results. As I've talked about before, our goal is to continue to shift professional services work to partners as SaaS remains our priority business. Maintenance and support revenue was $5.4 million, up 11%. Our gross profit was up 9% to $75.1 million or a 61% gross margin compared to 62% in the same quarter last year. Professional services gross margin remained very strong at 29%. The software margin was 73% and was impacted by roughly 4 percentage points due to an impairment of intangible assets related to certain legacy technology no longer used. This charge impacted total gross margin by just over 3 percentage points. Otherwise, software and total gross margins are more favorable compared to Q4 2023 results. Adjusted EBITDA was extremely strong, up 59% to $31.5 million or a 25% margin versus 18% in the comparable quarter. This reflects our continued heightened focus on profitability and relates to very successful initiatives throughout 2024 and earlier aimed at gaining operating leverage as we scale. Our strong growth and profitability performance resulted in Rule of 40 performance in the last 2 quarters, calculated by adding SaaS revenue growth and adjusted EBITDA margin, our usual approach. This lends support to Bob's comment that a return to consistent full year Rule of 40 performance feels very much attainable ahead. Our loss in the quarter was $16.3 million or $0.58 per diluted share versus a profit of $0.14 per diluted share a year ago. This result was fully attributable to a few onetime items worth noting. First, we incurred a onetime tax expense of $17.5 million related to transferring certain regional market rights within business entities in our corporate group, allowing for more appropriate tax planning ahead. Second, we arrived at a final settlement in our legal dispute with a competitor which resulted in the change to general and administrative expenses in the quarter. Under the agreement, terms aren't being disclosed but we're pleased with the results and that distraction is behind us. We remain proud that the widely acknowledged leadership positions and success of our Maestro platform is the direct result of 40 years of building industry knowledge and relentless proprietary development efforts to uniquely address the market's needs. Finally, profit was impacted by the impairment of intangible assets related to certain legacy technology no longer being used which impacted both gross margin as discussed and G&A expenses. Without these onetime items, it was a solidly profitable quarter. Cash flow from operating activities was $24.1 million compared to $28 million in Q4 2023. The cash impact of the tax expense and the legal settlement I just mentioned will occur in the first quarter of 2025. Cash, cash equivalents and short-term investments were $298.5 million, up from $293 million at the end of 2023, despite expenses in the year, that we don't expect to recur and our active share buyback program affecting the balance. Moving on to Slide 10. Our trailing 12-month cash flow margin remained strong at 19.6%, a great reflection of our increased focus on profitability. As always, we pride ourselves on being a strongly cash-generative company. On Slide 11, I'll leave it to you to review our full year 2024 results in greater detail. I am pleased that we met all our guidance elements and particularly pleased that our adjusted EBITDA grew beyond $100 million for the first time and up 42% in the year, reflecting a 22% margin which is at the top of our guidance range and up significantly from 18% last year. We also achieved record free cash flow of $95 million in the year. We won a record number of new customers, had a 60% plus win rate against the key competitors and maintained 95% to 100% gross customer retention for the year. I'd like to thank the whole Kinaxis team for what our healthy results in a challenging year across the SaaS enterprise software universe. Moving to Slide 12. Our annual recurring revenue, or ARR, grew by 14% on a constant currency basis, or by 12% to $360 million on an as-reported basis. This represents a meaningful acceleration from 12% constant currency growth last quarter. We experienced record incremental ARR in Q4, though the achievement gets partially masked when looking at period end ARR balance due to the foreign exchange impact. Incremental ARR was over 38% higher than in Q4 2023 and more than $4 million higher than the previous quarterly record in Q3 2022, excluding the ARR added as part of our MPO acquisition in the quarter. The split of additions to ARR between new name accounts and expansion of the business was 47% to 53% in Q4. In general, we have a significant opportunity to grow ARR from installed base and we are focused on it. For the year, the new name to expansion business split was 55 to 45 in favor of new customers. On Slide 13, our 3-year CAGR for total RPO and SaaS RPO is 18.4% and 20.8% which has declined slightly but remained strong. The period end balance was impacted by foreign exchange adjustments and 2024 being a lower renewals year. The figure continues to reflect our elite growth customer retention. The 3-year result is the best way to analyze RPO as it normalizes for expected quarterly fluctuations in customer renewal cycles. So we continue to direct your attention to those results. More details on our RPO can be found under the revenue note to our financials. On Slide 14, I'm pleased to be initiating our 2025 guidance. Given the current impact of recent unfavorable foreign exchange movements which we expect will continue ahead, I'll provide certain key guidance elements on both an as reported and constant currency basis. We model as reported guidance using the December 31 rate and model constant currency guidance using average FX rates from 2024. For 2025, we currently expect total revenue at $535 million to $550 million or 12% growth at the midpoint, or $545 million to $560 million in constant currency or 14% growth at the midpoint. SaaS growth of 11% to 13%, or 12% to 14% in constant currency, we expect typical cyclicality within the year to apply including slower incremental business in Q1 and strength in Q4. Subscription term license revenue of $16 million to $18 million. Roughly half of the amount is expected in Q1, approximately 1/4 in Q2 and the remainder split over the back half of the year with Q3 being somewhat higher than Q4. We will continue to encourage our on-premise customers to move to the cloud. Success here could change our outlook for term license revenue. We expect adjusted EBITDA margin to be 23% to 25%. To help you with your models, I'll add some further commentary. As usual, we'll give you a longer-term view of our subscription term license revenue based on no renewal cycles today. We expect this revenue to grow by roughly 55% from '25 to '26 and then return to slightly below 2025 levels in 2027. We expect gross margin to take another small step forward in 2025, mostly due to gradual improvement in the software margin due in part to the recent closure of our APAC data centers and higher subscription term license revenue. We will start moving out of our private European data centers towards the end of 2025 and into 2026, when we will also start migration of North American data centers. We expect the following trends for operating expenses on a percentage of revenue basis relative to fiscal year 2024. You should expect slightly higher sales and marketing as we continue to reinvest into the opportunity, as previously discussed, slightly less on R&D, as we continue to gain operating leverage and notably less on G&A as 2024 was an unusual year. I'd expect closer to 13% to 14% of revenue which is more in line with historical results. With respect to CapEx, in 2025, we expect to invest approximately $10 million to $13 million with some ongoing investments into remaining private data centers, upgrades to international offices to support expansion and refreshed network and desktop equipment to support key R&D initiatives. Going on to Slide 15. We have continued to be active in our normal course issuer bid. For the year between our previous plan which ended November 5, 2024 and our current plan, we repurchased 881,454 common shares for an investment of approximately $98.3 million, including 157,156 shares and $20 million in the fourth quarter. These purchases significantly exceed any dilution from our stock-based compensation plan for the year and I'm pleased with the investment. Our current NCIB goes through November 5, 2025. Overall, I'm pleased with the progress in the business. We delivered an outstanding Q4 in terms of incremental bookings, adding to our foundation for future growth. While foreign exchange volatility remains a significant issue globally, you should focus on momentum in our constant currency ARR. We're building on our product leadership which continues to be acknowledged by industry watchers and leverage by customers. Usage of our scenario now has doubled, hitting unprecedented levels as customers respond to mounting pressures and global trade. We will continue investing for growth while managing for increased profitability and free cash flow and are executing exceptionally well in that regard. We remain firmly committed to our mid-term adjusted EBITDA target and returning to consistent full year Rule of 40 performance. To all of you listening in, as always, thank you for your ongoing interest and support today. We're excited about the future and welcome you to the next step in our journey. I will now turn the line over to the operator to start the Q&A session.
Operator: [Operator Instructions] The first question comes from Richard Tse from National Bank Financial Markets.
Richard Tse: Congrats on the nice results here. Bob, you sort of mentioned that there's still a full steam ahead on the CEO search. I was wondering a couple of things. Like is there a time line to have someone in place? And then secondly, maybe more important is, what is the sort of primary skill profile the Board is looking for in this new CEO?
Robert Courteau: Yes, thanks for the question. Good to hear from you. Look, it's going well. The first thing and I've said it quite a few times, is that this is a scale up. The work we did in 2024 is really preparing the company for what's going to happen over the next 5 to 10 years. We've done a lot of the heavy lifting. First thing I'd tell you is, there's lots of interest. I think the performance in the quarter, the work that we did makes it even a better company as we go forward. So the real key here is to establish a position for the CEO is really about a plus up. And our real focus right now is to get it right. The work that we've done, the talent that we've added on the team puts us in a great place as we go forward. And we're just completely focused on getting it right with an overweight on next-gen Kinaxis. AI, product management, how we go to market and all the things that make a great company for the next 5 to 10 years. And so making good progress. More important to get it right than set a date.
Richard Tse: Okay. And then with respect to the backdrop, no doubt there's questions about supply chains going forward and the complexities that are likely coming here. So you didn't talk much about the pipeline but given that backdrop and I understand you're obviously a bit cautious on the macro but has the level of engagement kind of picked up with all that sort of coming towards us?
Robert Courteau: Yes. The level of engagement with customers that own Maestro now has never been higher, like its pandemic-level engagement and they have the advantage of being able to plan, think through what happens next. And because of that and this tight industry and supply chain, the demand is good. People are absolutely -- I mean, Q4 is a good illustration against the backdrop of other players in the industry of our ability to win customers, start new projects and the level of interest in our company is high. Our guidance is against the backdrop that we know that FX is really going to change things quite a bit. We're going to see a lot of variability. Our customers are super busy. So we wanted to put responsible guidance in place. But that's against a backdrop of we're way better control of our business. We've got a really good win rate and the enthusiasm and interest in our company is high. So we're trying to strike a really nice balance as we go into 2025 but we're feeling very good.
Blaine Fitzgerald: Yes. And maybe I'll just add a couple of comments on there. As Bob has mentioned, what we're seeing in our installed base and the expansion opportunities in our pipeline is by far the largest we've ever seen in our pipeline right now. We're extremely happy with where the pipeline is. There's elements that are growing a lot faster than others. The enterprise and large enterprise, they are in similar sized for where we would expect at this stage. One of the best parts we've had over the past year is obviously bringing someone like Mark Morgan on the team. The quality of the pipeline has improved significantly. And we saw that actually in Q4 in terms of how we were able to execute on the pipeline that we had available to us. So I think we're in a great position with our pipeline and continue trying to execute at the highest level.
Operator: The next question comes from Thanos Moschopoulos from BMO Capital Markets.
Thanos Moschopoulos: Just expanding on the expansion opportunities, have those been weighted more towards customers deploying into new corporate business units? Or has it been more about customers buying new modules or just a mix of both?
Robert Courteau: I mean we get paid for scenarios. We get paid for new modules around AI. We absolutely have a road map here going into the second half of the year and into 2026, where we'll be bringing out new products. And the way to think about it, Thanos, is that I already said, arguably, we have a 2- to 3-year head start on the competition. Not only does the AI give us economic opportunity, it gives us product differentiation and most importantly, it creates incredible value for the customers. And all of those things are going to translate immediately on to our existing customer base but it also support and contribute to our sustaining high win rates in our category. The other big thing that is coming up is planning is at the center of supply chain. It's the what to do. And we believe in partnership with other companies and also in terms of how we deploy AI, we'll be able to grow our TAM by being -- providing orchestration across the supply chain where our products are going to be able to deliver information for different types of users, new users and the like. So the short term is good to go to our customer base. The product strength grows, our advantage continues and we have an opportunity to increase our TAM. It's all of the above.
Thanos Moschopoulos: Great. And then, a question for Blaine. With respect to the software gross margins, notwithstanding the onetime charge, can you remind us what kind of margin uplift you would expect relative to current levels once you do complete the transition to public cloud and decommission the private data centers?
Blaine Fitzgerald: Yes, sure. So I think a couple of years ago, I mentioned there was about 600 basis points difference between how we calculated our margins based on private cloud versus public cloud. Half of that is related to amortization and depreciation. So if you take that out, there's about a 300-basis-point improvement that we have sitting out there once we get through the completion of this. I will say, there are some optimizations, some technology things that we are looking at that could improve that beyond the 300 basis points. But as of right now, if we're just looking at what we had before and what we have currently going to public cloud, I think there's 300 basis points of duplicative costs that will go away.
Operator: Your next question comes from Paul Treiber from RBC Capital Markets.
Paul Treiber: I was just hoping that you could walk through some of the moving parts between ARR growth this quarter and RPO growth this quarter. And then specifically, to what degree is driven for both by new wins versus expansion or phased deals that would uplift ARR?
Blaine Fitzgerald: Yes, sure. Well, let me just start quickly with what we're seeing in terms of like foreign exchange. And foreign exchange is almost like right now, like, a beach ball in the windstorm in terms of like you just don't know where it's going to land. It's been all over the place. And if you take the -- our big three foreign currencies that we gain revenue from and we have in our ARR and RPO balances, we have the euro, we have GBP and we have Japanese yen. They represent about 32% to 33% of our, I guess, currencies, foreign currencies that come into revenue that we have to translate. And you think about each one of them, the euro year-over-year went down 6.2%, GBP went down 1.7% and Japanese yen has fallen about 10.6%. Those have huge impacts in terms of how we look at our ending balances for both ARR and RPO. We had an exceptional quarter in terms of gross bookings outside of the fact that foreign exchange plays around with those levels. It was a slightly higher amount that came in from new business versus renewals, although we had a good renewal quarter. The renewals year was down year-over-year just because of the renewal cycles that we had in place. And that was a large part why you saw a lower RPO that came through. But again, we had around -- something around $18 million of hit on the RPO just because of foreign exchange. So you could expect that there's a higher amount that will come in once we get those currencies back in the right spot. In terms of ARR, extremely happy with the growth that we had in Q4. The incremental amount was beyond all of our expectations for what we saw in Q4 and that was a great spot. I think we are in a much better position. And I think the thing that I'm really concentrating on is the change in direction. The momentum that we saw in constant currency for ARR in Q4 was a great first step in the direction that we expect to go for the rest of 2025.
Paul Treiber: That's helpful. And then just on your last point, looking at the constant currency ARR growth in the quarter versus the SaaS guidance for the year on a constant currency basis, the SaaS guidance is a little bit below the ARR growth. How are you thinking about like the SaaS growth on a constant currency through the year and bookings potential through '25?
Blaine Fitzgerald: Yes, we're feeling good about our bookings. I think in Q4, it's kind of one of those markers that you say, okay, there's -- we've got the momentum behind us, we've got the tailwinds behind us. We don't want to get too far in front of ourselves. There's a lot going on in the macro right now. It feels like people are changing their minds all the time. But I will say that we're right now set up for success. I think the scenario analysis is a great example of something that people are using and our customers are using over and over again right now. We see it doubling basically in the first month of the year when there's a big change in a lot of tariff discussion that started happening. We think that we're in high demand right now. And our ability to execute and have the best product out there, I think, puts us in a really strong position.
Operator: Your next question comes from Kevin Krishnaratne from Scotiabank.
Kevin Krishnaratne: Congrats on the ARR spread. Can I maybe dig into what drove that strength? Are you seeing any slight shift in the macro that are helping the enterprise customers kind of close in on deals? You also referenced the changes of the go-to-market, a lot of different things that were going on there. I'm just trying to get a sense of what were kind of the key drivers of that ARR strength? And then second, on that go-to-market change, are you -- are there still more changes to come Q1, Q2 before everything is kind of up to the level of what you'd like it to be at?
Robert Courteau: Yes. First thing I'd say is that we have added significant high-quality people into our go-to-market business and grew EBITDA margins. And so the big thing that happened in 2024 is reset our priorities around spending. And so the thing you need to know in the turn that we have put is this isn't a cost savings plan to try and get EBITDA margins, it's a reprioritization of our focus. And I would characterize Q4 and as we go into 2025, as the most important thing that's happened is everyone understands the importance of new revenue growth, whether it's in the existing base with our customer support teams, whether it's with our services teams working with software, whether it's adding new talent, whether it's supporting the salespeople in place and much higher rates of executive engagement. Myself, Mark Morgan, Blaine, the whole team is engaged on what we would call company, the company selling in a more systematic way. And frankly, even John Sicard, last quarter was a big part of his success. He's down here. He's been helping us with strategy. He's at a customer conference next week with Mark which is a really important customer conference. He's going to be at Kinexions. So his continuing support for the company has been fantastic. We're doing what great enterprise companies do. We got the whole company focused on growth. We're doing it with a set of priorities that is really precise at an all company event last week, you got -- everyone on the call has heard about the change early last year where we brought McKinsey, Goldman and other people in to help with the company. I told them that after all of that work and all of the advice we got and everything that we're doing, we're doing fewer things that are really important that are really making ourselves a very efficient company in the short term but those priorities are the ones that are going to allow us to win for a long time. So we just had a great year getting organized, teams fired up, company is excited and we're winning.
Kevin Krishnaratne: Great. Appreciate all that color there, Bob. Second question, you referenced later on in the year some more GenAI features being able to chat with the data and that might -- I think you talked about an uplift more into 2026. I'm just wondering how do we think about that model? Is there any way to quantify what type of a lift? How are you thinking about how that could work through your numbers?
Robert Courteau: Yes. So here's what you're hearing from the team here in our guidance, in our language, it's -- the strategy is really tight. And the goal now is to make this quarter, then we're going to make next quarter and then we're going to make the quarter after that. And we're not trying to get ahead of our skis. We're not trying to dismiss the challenges for our customers, we're totally focused on the things that matter for the long term, obviously. But we really have sharpened our edge around trying to make the quarters and that's what our investors want, that's what is a great compounder. And I think we've got some pretty good edge going around that. I don't know, Blaine, do you want to add to that?
Blaine Fitzgerald: Yes. I think our number one goal is to concentrate on continuing to accelerate ARR in the right direction. And we're in the process of finalizing pricing around what we're going to do with chat, with data. And then following that, we'll have Agentic AI that's a little bit later in the year. So two really big improvements for what customers utilize and get in front of themselves to be more efficient as we go forward. I would not expect that it will have a huge impact on SaaS. I do think it will have an impact on ARR growth as we go forward and that's something we're pretty excited about at this stage.
Robert Courteau: The other thing I'd say on that is like at the end of the day, our AI product road map definitely sustains our product advantage in a category in today's macro environment of unsure trade and FX that is what people are buying and interested in and we do it better than anybody else because we've already introduced AI into our product to be able to actually provide scenarios and nobody else does it like we do. So we're in a great position to monetize this business in the short, medium and long term.
Operator: Your next question comes from Lachlan Brown from Redburn Atlantic.
Lachlan Brown: ACV over ARR, you delivered the 1.23x in the first 9 months of 2024. Are you able to provide any color on that figure and how that fared in the fourth quarter? And having a look at the FY '25 revenue outlook, is there expected to be a meaningful contribution from these phased deals that you secured last year? Or should we expect these more contributing to outer year growth?
Blaine Fitzgerald: Sure. A good question. We -- yes, we've been giving that ratio in the past of -- we didn't this time -- I'll give you the number right now, it's 1.16 is what we ended the year at. It actually is the exact same number that we had the year before. And what really defines why it's important is when you see either acceleration or deceleration of that ratio compared to prior periods. And that kind of moves into your second question which is how does it impact, what I sometimes call free ARR going forward? So we do have free ARR, it's going to be higher than we had in 2024. And so we have some free ARR coming in 2025. Depending on how that ratio moves, if it stays stable, there will be an equal amount of almost cancellation on the ACV, ARR, free ARR, that comes out from that's going to be deferred for future periods. So at this stage, 1.16 is where we ended the year, again, very similar to what we had in 2023. But we did have a couple of fairly large ramp deals in Q4 but not as much as we had in the first 3 quarters of the year.
Lachlan Brown: And on the presentation, you highlight that greater than 200 customers have engaged with the Maestro AI chat agent. How should we reconcile that number with the 100 that were actively using the tool at the end of last quarter? Has there a been meaningful step-up in the -- or take-up over the last 3 months in that product?
Blaine Fitzgerald: Yes. Yes. I mean it's a doubling in 3 -- it's our highest uptake of any product. Now the way that we obviously talk about the chat agent is that it is something that helps feed our current customer base for understanding like, okay, the next step is to move on to chat with data. And the next step after that is Agentic AI. So we have over 200 customers currently using it. Very strong feedback as to how great it is and how much it makes things much more efficient. I think the chat with data, we were in a board meeting over the last couple of days, I got to see even more views on what that looks like. It is going to make customers much more efficient over time and the automation that it provides at fingertips is, I think, a game changer.
Operator: Your next question comes from Stephanie Price from CIBC.
Stephanie Price: Several peers have flagged decline in professional services revenue growth, just given small initial deal sizes and phased deals. It looks like your Q4 PS revenue growth was the lowest we've seen in a while. And if you kind of back into the PS you're expecting in your guide, it looks like it's going to be well above where it was in Q4. Just if you could talk a little bit about the PS line and what you're seeing there?
Blaine Fitzgerald: Yes. It's -- there's obviously things that are in our control and whether or not we actively push things to our partners is in our control. We have seen a very nice trend in terms of our partners getting more of those deals and we've been actively trying to support them. Everyone is aware of we have a very strategic relationship with Accenture and trying to ensure that they meet their own targets but it's our priority right now and going forward, will continue to be subscription business. We did have a couple of contracts with, I guess, impacts that were a fixed fee type of contract that makes it harder to actually grow on a variable basis, foreign exchange impacted results. But overall, again, I think the most important point to take away from this is that we've done a lot better job of redirecting the professional services work in the direction of our partners. And I think that also can contribute to why we have had a really strong Q4 ARR and ACV growth that we had.
Stephanie Price: Okay, that's good color. And then just maybe on your adjusted EBITDA in the quarter included quite a bit of special charges. And I know you had a settlement with a competitor in the quarter. But curious if you could talk about what's embedded in the EBITDA guide in terms of special charges and how we should think about that for 2025?
Blaine Fitzgerald: Yes. I'll be frank. I don't like having a ton of adjustments or special charges at all. And so I'm pretty happy with the fact that we have very little, if any, special charges going forward. I think we're in a much better position to go back to normal. And 2024, as we all are aware, that there was a little bit of a different type of year for us. We had some unusual transactions that we don't think are recurring. We don't expect that to come back in 2025. So there's no guide that has -- or our guide right now doesn't have any of the special charges coming in.
Operator: Your next question comes from Suthan Sukumar from Stifel.
Suthan Sukumar: The first question, I wanted to touch on the new product cycle with Maestro. It's really good to hear that usage and engagement is spiking higher. It's a good proof point though. Just curious, is that being led by net new customers, the adoption there? Or is it really upgrades from the base that's driving this activity?
Blaine Fitzgerald: Yes. I think what you're seeing is some of our more mature customers because the newer customers are usually in the process of deployment. So the usage and the amount of scenarios that we're seeing right now are those customers that are live, obviously and using it to [indiscernible] capabilities. Yes, it's more mature customer base that's continuing to use more and more of our products.
Suthan Sukumar: Okay, great. And the second question I had was more around your platform strategy. In the past, you guys have called it RapidResponse as a platform. And the strategy has been in play now for a number of years and it looks like you guys have made some really good progress in expanding the partner side of that. Can you speak a little bit about how much of revenue is being driven from your solution extension partners today? And where could this revenue mix go over the medium to long term?
Robert Courteau: Yes. The VAR and SolEx business, we're super excited about, it doubled last year in its contribution. Our expectation is we'll continue that trend. And it becomes an important part of our geographic expansion. It becomes an important part of our value extensions. It creates more coverage at spotting for our customers that allows us to get and attract new industry capacity. All of these things contribute to the strategic positioning of the company to operate as a global company. And the neat thing is with the investments we've made in geography and in the partner ecosystem are now starting to pay in a way that not only gives us better coverage, supports our ability to work with the largest companies in the world but it also is starting to pay. I would have seen some of the work that we've done over the last few years is the cost of scale. And by making those investments in geography, partners and the like, we're now to seeing that it's becoming more profitable and it's part of the EBITDA margin story.
Blaine Fitzgerald: Yes. And I'll add that one of the, I think, exciting thing that I don't know how much we talked about or we should probably talk about more is we've been working on our supply chain data fabric. And that's going to be a key part of the architecture of the Maestro platform. It's going to be a key aspect of supply chain orchestration which should seamlessly absorb and share data from as many supply chain sources as possible. And that will improve the decision-making end to end. So this database fabric that we're working on right now which I think everyone understands is one of the key aspects of not only how people are using AI and GenAI going forward but just the orchestration you have end-to-end across the supply chain. And that's something that we're pretty excited with the progress and something that hopefully we can differentiate from our competitors going forward.
Suthan Sukumar: Congrats on the new records this quarter, guys.
Operator: Your next question comes from Martin Toner from ATB Capital Markets.
Martin Toner: I want to dig into that incremental ARR number. It looks like it's 20, 20-plus. And just wondering if you can kind of talk about the drivers and let us know if there's any unusuals in there that we should be aware of?
Blaine Fitzgerald: Yes, the only usual and I make sure I caveat this in my sentence is that the foreign exchange, we took out the foreign exchange, obviously, as an impact just to make sure that it was apples-to-apples that you could compare against. The unusual we had was just the execution. It was an extremely high conversion. I look back to Q3 2022 and I used to always talk about that quarter as like we just closed everything. Every deal that we had in the pipeline just kind of started coming in. And I would say Q4 of 2024 was very similar to that. In fact, the conversion rates that we had for those 2 quarters are one and two in the charts right now. So I think if anything, what we realized is the demand for our product is extremely high. We had a leadership team on the go-to-market side that was able to execute at the highest levels. And I was -- I'll say I was pleasantly surprised because Bob here knows that I was not expecting the quarter that we had in Q4 and to be able to execute at that level gives me a lot of confidence in where we're going in the future.
Robert Courteau: I was a lot more bullish. Listen, look, it's -- the way to summarize it is, look, it's an industry where people compare their ability to operate supply chains. They know each other and they go to conferences together. And the macro environment we're seeing post the U.S. election with a bellwether on the importance of having a product -- a solution like Maestro in your business. And I think that what helped us in the quarter is the references, the ability to get time to market. The flat out needs to have the product that nobody else has in the market with the level of sophistication we have. It's become a must-have to run your business. And that -- and when you think about what's going on with tariffs and free trade, the reason that there are such a spike in scenarios, it's really, really hard to understand exactly how things are going to play out, what your cost base is, shipping routes, alternatives. So this trend is not going to change in the short term. And so obviously, it creates some risks, obviously, we've seen it with some of our competitors. But it also creates for us an amazing tailwind because we're the leader. We're -- we have the product that people need to operate their business, right? And so what we're trying to do is really project forward a balanced view of our position which is strong with the challenge for our business these days but it helped us in Q4 for sure.
Martin Toner: Fantastic. Can you let us know how much pricing is in that incremental ARR number?
Blaine Fitzgerald: Very little, if any. We didn't have price changes in Q4.
Martin Toner: If I may ask one more. Can you talk about professional service revenue growth in the quarter? I mean it decelerated meaningfully which is -- I mean, it's a common theme we're seeing in the quarter. But in your guide, it appears that you're pretty optimistic that those -- that this is a bit of an anomaly. Can you talk us through that?
Blaine Fitzgerald: Yes. Q4 is always actually a slower quarter for professional services just because of how the contracts work. The more vacation you have, obviously, Christmas holidays plays a part of it. It slows down the amount of the ability to generate revenue. We actually get our largest revenue base coming from Q2 and Q3 on professional services using. Now, saying that as much as we are trying to push in the direction of our partners with a higher base of ARR that we're growing and new incremental ARR that we're growing, it will help push the professional services revenue up no matter what. But again [indiscernible] we're on a tight rope here in terms of we are trying to push but we do have like certain commitments that we want to still uphold within the organization to hit revenue targets that we have. And so we are on a content trying to slow down professional services as a percentage of total revenue. But in turn, we're hoping that helps accelerate the subscription revenue that we are really focus on.
Robert Courteau: Yes. And we're also trying to -- part of our multiyear profitability story is to actually improve the profitability of services as well. These things all work hand-in-hand. And then the final one is, over time, we're going to make it more -- less -- it's already one of the best software products at the enterprise level in time to value. We're going to keep pushing that. We're going to make it easier to implement and that puts pressure on professional services as well. So we've got a really, really tight plan to make sure that we turn all of these dials properly to take advantage of the opportunity for the company.
Operator: Your last question comes from Mark Schappel from Loop Capital Markets.
Mark Schappel: Most of my question have actually been answered but I just have one, Bob, it's for you. I was wondering if you could just speak to the current -- or the company's current perspective on strategic inbound interest that you either are seeing or not seeing for the company?
Robert Courteau: Yes. I think for me, the goal has always been and particularly once I became the Executive Chair, to focus on the performance of the business. We believe that the value of the company is about making the quarters, about pushing the product advantage. It's about making sure that we're adding talent to the team. And we kind of -- I kind of separated myself a little bit or a fair amount from what the expectations of all of our shareholders are. And really zeroed in on the expectation of our shareholders around performance. I don't think anything has changed, like we're still in a position here where we're operating the business. We've always said that we're open to having conversations and we continue to run the business. So I don't think anything has changed.
Operator: That concludes our Q&A session. I will turn the call over to Rick Wadsworth, Vice President of Investor Relations for closing remarks.
Rick Wadsworth: Thanks, operator and thank you everyone for participating on today's call. We appreciate your questions and your ongoing interest and support of Kinaxis. We look forward to speaking with you again when we report Q1 results. Bye for now.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining and you may now disconnect.